Operator: Good afternoon. Thank you for attending GCT Semiconductor Holdings, Inc. Second Quarter 2025 Financial Results Call. [Operator Instructions] Joining to the call today are John Schlaefer, GTC's (sic) [ GCT's ] Chief Executive Officer; and Edmond Cheng, CFO, to discuss our second quarter 2025 results. During the call, certain statements we make will be forward-looking. These statements are subject to risks and uncertainties, including those set forth in our safe harbor provision for forward-looking statements that can be found at the end of our earnings press release and also in our Form 10-Q that will be filed today, which provide further detail about the risks related to our business. Additionally, except as required by law, we undertake no obligation to update any forward-looking statements. I will now turn the call over to John Schlaefer.
John Brian Schlaefer: Thank you, and thanks for everyone for joining us today for our second quarter 2025 earnings call. I'll focus my remarks on the exciting progress we've made as part of our 2025 GCT year of 5G program, and Edmond, our CFO, will provide details for our second quarter financial disclosure. This quarter marked another significant milestone in what we've debuted as the 2025 GCT year of 5G. Our team has worked relentlessly to ensure the 5G chipset performance, stability and integration readiness. I'm thrilled to share that we have officially delivered the initial samples of our 5G chipset to lead customers, including Orbic North America and Airspan Networks with successful testing already underway. Highlighted by our partners, Gogo in June and Airspan in July via their own press releases, this marks a major leap forward and allows us to begin the transition of our focus towards mass production and the imminent commercial launch of our 5G chipset. As it pertains to the highly anticipated next steps, we expect additional samples to be delivered in the coming weeks, expect to commence production of the finalized initial 5G chipset during the third quarter and are preparing for volume production and shipments in the fourth quarter of this year. We are very pleased with the progress we are making with our 5G chipsets. In parallel, we continue to expand our customer ecosystem. We recently announced collaboration with Iridium Communications to integrate their NTN Direct satellite service into our advanced GDM7243SL chipset. This opens up a new dimension for our technology, enabling connectivity in remote and underserved regions and broadens our reach into the nonterrestrial network space. We've also partnered with G+D to deliver embedded eSIM solutions for IoT applications. These are early but critical building blocks that enhance the long-term value of our 5G platform and help define how GCT participates in the future of global connectivity. Looking forward, we remain laser-focused on scaling our 5G platform, ensuring readiness across our supply chain and executing against demand that we expect to materialize as our customers launch their own next-generation products. And with that, I'll turn the call over to Edmond to discuss our Q2 results. Edmond?
Fong Ting Cheng: Thank you, John. We are encouraged by the operational progress made during the second quarter, especially as we prepare for the commercialization of our 5G chipset. While our financial results reflect the continued shift from 4G towards 5G, they are consistent with the transitional phase we are currently in. We anticipate a stronger end of the year as 5G chipset sales to commence soon. As I have mentioned before, the average selling price of this 5G chipset is expected to be roughly 4x that of our traditional 4G products. With that, I will now turn to our second quarter 2025 financial results. Further details can be found in the 10-Q that will be on file with the SEC. Net revenues decreased by $0.3 million or 19% from $1.5 million for the 3 months ended June 30, 2024, to $1.2 million for the 3 months ended June 30, 2025. The reduction was largely attributable to a decrease of $0.7 million in service revenue, partially offset by an increase of $0.4 million in product sales, which were driven by our 4G chipset sales. Cost of net revenues increased by $0.3 million or 47% from $0.5 million for the 3 months ended June 30, 2024, to $0.8 million for the 3 months ended June 30, 2025. This increase in the cost of net revenues was driven by product sales activity, partially offset by the lower costs associated with service products. Our gross margin decreased to 32% for the 3 months ended June 30, 2025, from 63% for the 3 months ended June 30, 2024. The gross margin of our service business and product sales were 71.3% and negative 42.6%, respectively. Our current gross margin, particularly for product sales are still distorted by the lower product revenue, which makes it less indicative of the underlying profitability of our products when we transition to scale our new 5G product sales. We expect operational efficiencies to kick in as revenue increase, which will begin when 5G product sales start contributing to our overall revenue in the second half of 2025 and particularly in Q4 this year. Research and development expenses decreased by $0.7 million or 16% from $4.2 million for the 3 months ended June 30, 2024, to $3.5 million for the 3 months ended June 30, 2025. The decrease was primarily attributable to a $0.9 million reduction in professional services related to the design of 5G chips products and partially offset by a $0.3 million increase in personnel-related costs. Sales and marketing expenses remained consistent at $1 million for both the 3 months ended June 30, 2025 and 2024. General and administrative expenses increased by $0.6 million or 20% from $2.9 million for the 3 months ended June 30, 2024, to $3.4 million for the 3 months ended June 30, 2025. The increase was largely due to increases in expected credit loss estimates by $0.3 million to $1.1 million loss in Q2 2025 compared to $0.8 million in our expected credit loss estimate in the prior year period. The increase was partially offset by lower professional services and other costs driven by reduced transactional activity during the second quarter of 2025. We ended the quarter with cash and cash equivalents of $1.3 million. We also had net accounts receivable of $3.8 million and net inventory of $3 million. During the quarter, we received $11 million in gross proceeds from a registered direct offering, which was made under our shelf registration we filed in April of this year. These funds were primarily used for 5G chipset sampling, debt retirement and expanding the company's financial flexibility. As a reminder, this shelf registration offers up to $200 million in capacity with $114 million of remaining availability, excluding the $75 million at the market facility. With this, I will turn the call back over to John.
John Brian Schlaefer: Thanks, Edmond. To close, I want to emphasize just how far we've come this year alone. The delivery of our initial 5G chipsets to lead customers, the validation successes we're seeing and now the preparation for volume shipments all point to one thing. GCT is on the verge of a meaningful inflection. We expect this transition to become more visible in the coming quarters as customer announcements, production ramp-ups and initial 5G revenue begins to materialize. I want to thank again our employees for their commitment, our partners for their collaboration and our shareholders for their continued support. We're incredibly proud of how far we've come and even more energized by what's ahead. The second half of 2025 is shaping up to be transformational for GCT, and we're excited to have you with us. I will now turn the call back over to the operator, who will assist us in taking your questions.
Operator: [Operator Instructions] At this time, I don't see any questions in the queue. This concludes our meeting for today. Thank you all for joining the conference call. You may now disconnect.